Operator: Good morning, ladies and gentlemen. Welcome to Banco do Brasil Third Quarter 2021 Earnings Conference Call. We would like to inform you that this conference call is being recorded. With us today, we have Ricardo Forni, CFO; and Daniel Maria, Head of Investor Relations. BB’s CEO, Fausto De Ribeiro will not be able to join us today, but he left the message for this conference opening. The Q&A session will begin right after the presentation when further instructions will be given. Now, we will begin the presentation.
Fausto De Ribeiro: Good morning, everyone. It’s a pleasure to be with you today to discuss the third quarter 2021 results. When I became CEO of Banco do Brasil, I said 10 restructure initiatives in line with the strategic planning. These 10 initiatives are summarized in three pillars, proximity, digital impacts and profitability that enabled the main deliveries of the last nine months. When I talk about proximity, I’m talking about being always available with a specialize relationship that understand the customer’s moments of life, their needs and their preference. We offer specialized service to micro and small companies, which can count on 7,000 dedicated professionals. Also, I’d like to highlight our specialized service for rural producers, both retail and wholesale. And finally our private offices, which provide highly qualified advice. We made robust investments in analytics that allowed us to extend managed service to more than 7 million people escalating the surface with efficiency. With the best customer knowledge technologies we personalize experiences. An example of this is our AdvisorRobot, which recommends investment considering our customers goals. At Banco do Brasil customers can be served throughout Brazil, digitally or in one of the physical points of contact. We are changing our services structure to lighter and more efficient models, increasing the number of banking correspondents. Banco do Brasil has nearly 22 million active customers in digital channels. Our app has a qualified audience, with a daily peak of almost 9 million people. This is our biggest showcase. Digitally, the customer can renegotiate that through WhatsApp, it also preapproved loans. Through our channels platform, we offer a fully credit cycle. It’s the customers once it’s possible to extract a low operation on a particular channel such as a cellphone, and elite and another one, such as a branch in an omnichannel view. The purchase of credit follows the customer desire in a fluid and safe manner. All of this results in a full experience in channels, ensuring the best convenience for our customers. We see continuous and consistent growth in the satisfactions of our customers with an annual increase of 8 points in our general NPS. Every direction carried out by our employees is followed by a service evaluation. In September, we obtained 4.8 rating individual service and 4.86 rate in company service on a scale between 1 and 5. Our app ranks among the highest rated in the financial industry. That’s what we pursue every day, our customer satisfaction true what close, personalize it and increasingly digital experiences, for us being digital impacts means advancing every day, bringing benefits and improving customer loyalty. At larger debate our store in our app, we centralize in one place no financial solutions, such as gift cards, recharge, prepaid phones and the benefits and promotions of [inaudible] Banco do Brasil program. We are launching a new business model and affiliate marketplace, which generates cash backs for customers and fee for Banco do Brasil, diversifying our revenue sources and for the launch, we made an agreement with Amazon do Brasil that is available to our customers. Soon, we will bring the new brands adding every more value to our customers making Banco do Brasil more relevant and present in their lives. Is Tier 1 business diversification, I would like to highlight Broto, our agri business virtual platform built together with BB Seguros. The platform reached R$1 billion in use since its launch. MPE Week, a digital initiative that put virtually together SME sellers and buyers was a successful solution. All the initiatives that are part of the constant improvement of solutions for our customers are the Clube de benefícios with HiWhat’s home products and services and the ponto pra você program with cash back in their account. Now I would like to talk about sustainability. This is the reason why I’m here in Glasgow in the next few days participating in a panels and debates at the United Nations Conference of Climate Change. In last September, our sustainable business portfolio surpassed R$282 billion, growth of 80.9% in 12 months. Banco do Brasil is working to engage clients to invest in sustainable assets, offering a portfolio that combines profitability, corporate governance, and social and environmental responsibility. As an example, the recent launch of LCA Verde reached R$158.4 million raised. As a result of our position in the ESG agenda, we are anchored as the Most Sustainable Bank in the World by Global 100, and recently, we were elected as the Most Sustainable Bank in South America by CFI Magazine. The convergence of proximity, digital imprints and profitability guidelines are reflected in our performance over nine months of 2021. For the third consecutive quarter Banco do Brasil posted record results, adjusted net income reached the highest level in the historical series, R$50 billions in this year, an annual growth of 48%. We also show growing credit with a portfolio exceeding R$814 billion and NPLs reduced to 1.82% in September, below the financial industry. Our CET1 reached 13.17% organically. To end my speech, I would like to reinforce our commitment to profitability and to the construction of increasingly and sustainable results. Now, I will hand the floor to our CFO, Ricardo Forni, who will detail our results with you. Thank you very much.
Ricardo Forni: Good morning, everyone. I will start the presentation on slide 10. The adjusted net income grew 47.6% compared to the third quarter 2020 and 2%, compared to the second quarter 2021, reaching R$5.1 billion in the third quarter with an ROE of 14.3%. Compared to the second quarter 2021, the result was driven by the positive performances, both in the NII and fee income and the solid cost control, partially offset by the 36.7% increase in the allowance for loan losses in the expanded view. The nine-month accumulated net income was R$15.1 billion, an increase of 48.1% compared to the same period of the previous year, driven by the reduction in the allowance for loan losses. Throughout 2020, we constituted preemptive credit provisions to strengthen our balance sheet in face of potential impacts from the pandemic. Likewise, the good performance on the income side and the control in administrative expenses driven the result on the nine-month is accumulate and the ROE ended at 15%. On slide 11, we showed the net interest income breakdown, with growth of 11.9% compared to the third quarter 2020 and 9% in the quarter. In the accumulative nine-month view, NII grew 5.3%, totaling R$44.6 billion. The income from loan was increased driven by the credit growth for better mix. Also, the positive performance on Treasury helped the NII. These movements more than compensate the growth in funding expenses due to higher solid rate in the period. On slide 12, we have the loan portfolio in the expanded view, which grew 11.4% year-on-year and 6.2% compared to June 2021, totaling R$814.2 billion, mainly on individuals and agribusiness portfolios. The individuals portfolio grew 5.7% compared to June 2021 and 14.2%, compared to September 2020. Highlights for the positive performance on payroll loans, consumer finance and credit cards, as a result of our strategy of change in the mix. The agribusiness portfolio grew 9.7% compared to June 2021. Agribusiness securities also had a positive performance. The SME segment, which includes companies with annual revenues of up to R$200 million grew 10% in the quarterly comparison, influenced by disbursements in Pronampe. The corporate and government portfolio grew 1.1% year-on-year and 2% quarter-on-quarter. We highlight the growth of transactions with companies with annual revenues between R$200 million and R$800 million, contributed positively to the portfolio mix. On the next slide, we have the agribusiness portfolio breakdown. We reached the historic mark of R$225.8 billion, 18.5% up from September last year. Besides the traditional loans, I would like to highlight the 483% increase in the agribusiness loan rights certificates, commonly referred to as CDCs that constitutes a new form of agribusiness funding. In addition to the high demand, the strong performance is driven by Banco do Brasil historical protagonism in the segment with a specialized service, dedicated professionals, technical knowledge and national capillarity. In addition, we start from a robust strategy to strengthen our presence in the agribusiness with actions that improve businesses, bring modernity and technology to the relationship with the entire agribusiness chain. As a result, we had another record of disbursements in the first quarter of the 2021, 2022 harvest plan, with a growth of 6% compared to the same period of the previous harvest, with operations in 4,715 Brazilian municipalities. On slide 14, we bring the highlights of the company’s portfolio, which grew 4.3% compared to last June. As I mentioned, the highlight in the period was the growth of the SMEs portfolio, favored by disbursements of R$8.1 billion in the Pronampe lines only the last quarter. We are investing in an important strategy called LS product achievers [ph], which brings a closer relationship with the supply chain of wholesale, agribusiness and government companies. In the first nine months of 2021, we disburse the R$15.4 billion in credit to micro, small and medium-sized companies under this movement that integrates BB’s service network. On slide 15, we see the schedule for the resumption of payment for the operations of the forbearance portfolio. Payments are being made according to plan as shown above by the reduction in the balance of this portfolio and the reduction in the balance in grace period, which totaled R$3.6 billion in September 2021. From the amount and grace period half are expected to resume payments in the fourth quarter of 2021, as shown in the graph on the right hand side. The NPL over 90 days of the forbearance portfolio increased in relation to the previous quarter, as expected, and remains under control at 2.29%. On slide 16, we show the evolution of the allowance for loan losses in the expanded view, which ended the quarter at R$3.9 billion, a reduction of 28.8% compared to the third quarter 2020 and an increase of 36.7% compared to the second quarter 2021. The increase in the quarter is mainly due to the higher credit provisions in line with the loans portfolio growth. The good performance of the recovery of write-offs also had helped the allowance for loan losses. In the nine months accumulate, the allowance for loan losses in the expanded view, totaled R$9.3 billion, a reduction of 44.4% compared to nine months 2020, due to preemptive provisions made throughout 2020 in the amount of R$8.1 billion. The cost of credit ended the third quarter at 2.8%. On slide 17, we have the credit quality, which proved to be resilient. The NPL over 90 days showed a reduction in relation to June 2021, reaching 1.82% in September 2021. The portfolio coverage ratio ended the quarter at 323.3%, a slight reduction compared to June 2021. The new NPL on the portfolio reaches 0.69% and the coverage of the new NPL reached 113.4%. On the next slide, we present the fee income and administrative expenses dynamics. Fee income reached R$7.4 billion in the quarter, an increase of 2.2% compared to the third quarter 2020 and 3.2% in the quarterly comparison. The growth was mainly driven by the positive annual performance in the lines of insurance, pension plans and premium bonds, consortium and asset management. In the nine months 2021, fee income group 1% converging to the guidance. Administrative expenses remain under strict control, almost flat in the annual comparison, totaling R$7.9 billion. Even considering the salary readjustment of 10.97% as of September 2021, administrative expenses grew only 0.7% in the quarter. The cost to income ratios accumulated in 12 months ended the period at 35.9%. On slide 19, we show BB’s BIS ratio, highlighting the common equity Tier 1, which ended September at 13.17%. Finally, on slide 20, we bring the performance regarding the guidance. BB reviewed its corporate projections to better represent management’s expectations. The range for the loan portfolio was changed upwards to 14% to 16%. This reflects the good performance on the retail lines and also the good perspective for the agribusiness sector. Those segments also had their estimates changed upwards. The wholesale portfolio, which considers cooperates with annual revenues greater than R$200 million was impacted by early redemptions and the higher demand for alternatives in the capital markets, which drove the revision of this line downwards. For the NII, the performance above expectations, both in the low portfolio and in the treasury led to an increase in the growth range to 4% to 6%. Estimates for fee income administrative expense and allowance for loan losses were maintained. Finally, adjusted net income was revised upwards to reflect changes in our order lines. With that, I conclude the presentation of the result of the third quarter 2021 of Banco do Brasil. We can now begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Mr. Jason Mollin from Scotiabank. Please you may proceed.
Jason Mollin: Hello, everyone. [Foreign Language] I was wondering if we could get an update on Banco do Brasil’s strategy to sell non-core businesses and an update on potential JVs in certain businesses, and also, perhaps, now that you’ve reached one year, the one year mark on your JV and investment banking, if you could provide some color on how that is going, seems like you’ve done according to the release a lot of transactions? Thank you.
Ricardo Forni: Okay. Thanks, Jason for the question. So let’s start on the divestments that, say, we are working on, I believe that we delivered the first divestment in this quarter. It’s subject to approval by the Central Bank and the Competition Authority in Brazil. We sold a half of our, let’s say, half of the bank called Deus [ph] that we have in partnership with Bradesco and this was done that this was originally incumbent bank or a bank from financing that was saved during the last years invested to be a digital bank, but for us, it’s not synergy in our digital strategy. So, we -- and let’s say, the road to be digital, it will require a lot of investments and we decide to sell and Bradesco is our partner over there. They had a preference. So they bought this equity from us and we are just waiting for approval from the Central Bank and the Competition Authority to finalize the transaction. So this is first one that we are on the, say, trying to keep with the core. This is one of the first ones that we have delivered, let’s see. In terms of other ones, I believe that the marketer always talk about CLO. We are not interested in sell CLO. We are working together with our partners over there, because we believe it’s a core business. We have the BB DTVM as well not on divestment, but on a partnership, say, discussion. We are still studying. Let’s say we don’t have any new or evolution in terms of this discussion. We are still looking forward for a partner that can improve our competencies, and let’s see, move forwards and knowing that Banco -- BB DTVM is a leader in the Brazilian market. So it is something that we are looking forward for our joint venture that could keep our position as a leader in the asset management market. We have also sometimes discussion about Banco Votorantim. Banco Votorantim is a very good bank. They are delivering results. We are working together with our partners over there. We work in potential IPO in the beginning of this year that the market was not, let’s say, welcoming in terms of pricing at that time and together with partners we decided to hold and stay on the partnership and work together, so we’re looking forward in the future for, let’s say, and exit with, let’s say, a good price for our stake. And Bank Patagonia, I think, it’s another one that is in the same potential list of divestments, but say, the markets in Argentina are not, say, very liquid or welcoming for a transaction, so we are holding and waiting and see how the market evolves. Meanwhile Bank Patagonia is a very good and profitable asset, so we’re not -- it’s not a -- it’s not against us holding the position, because the asset is profitable. Okay.
Jason Mollin: Very helpful.
Ricardo Forni: Okay. Yes. UB…
Jason Mollin: …update obviously?
Ricardo Forni: Yeah. Update on UBS, we just made one year, let’s say, of the joint venture working. We are performing, say, better than we expected considering the pandemic scenario. We are -- we have a very good transactions, we are working the market, in the -- fixed income in Brazil is going well and the competence of a global player like UBS and the local leader like Banco do Brasil is working well on this equity. We are working well as well. But, let’s say, the market is, let’s say, a bit more sensitive for equity transactions. And we are, let’s say, advancing our competencies in the mergers and acquisitions. I think this is something that has a more longer term for, let’s say, this pipeline to come up, but we are very happy with the joint venture with UBS.
Jason Mollin: Very helpful. Maybe just in a separate vein, a separate way, if you could just comment on the competitive environment, perhaps, from newer entrants or digital banks, we’ve seen the price range for new bank, the midpoint, I think, is over 3 times the market cap of Banco do Brasil. How do you think that’s impacting your business? Are you seeing that on a day-to-day business and what do you think of that disadvantage on the valuation front?
Ricardo Forni: I believe that Banco do Brasil as an incubator bank and, let’s say, we are working hard on our digital strategy. And I believe that -- doing the presentation I believe that the material that our CEO presented about what we are doing in terms of delivering and developing new business models and to have this the marketplace as we have this in the agribusiness, we have these gift cards and now marketplace in partnership with Amazon, that is just starting. So and keeping our app as the best or one of the best in the Brazilian financial system is something that we are working hard and we are trying to accelerate our digital initiatives. We have been very active in the open banking initiative in Brazil right now together, say, supporting the Central Bank initiatives as peaks in the open banking. So the digital banks are our niche players and I believe that we have -- we are building, delivering a core digital proposition for our clients. So that’s what we’re working mainly and that’s why, for example, Deus was not something that would be synergy for our business plan.
Daniel Maria: And just to add some numbers to what, Ricardo said, that is, I think, that’s quite important related to our strategy. First of all, we have a good number of people using our app. We got -- we had a good flow inside organization, more than 22 people using at least once a month…
Ricardo Forni: 22 million.
Daniel Maria: 22 million people use it once a month and we have on average 6.7 million people using everyday including we had the peak more than 8 million people in one day. And this actually shows the value that the bank has as a platform, and not only to generate business in the banking business, but also to generate the flow for non-banking business. For that that reason, it’s important to see the developments that we have in terms of platform, for instance, Broto, that’s certainly. We’re escalating this to monetize. Yeah, you see also the movement that we’re doing in the gift cards and now bringing to this marketplace with amazon.com.br, yeah. And certainly this is a new way of generating to monetize the customer base and this is a good representation of the strategy, this strategy for the bank. It’s certainly, since you have a large markets, there are more eyes looking at the market, but we have the instruments to compete with -- doesn’t matter who is in the market.
Jason Mollin: Thank you very much for your comments. Appreciate it.
Operator: [Operator Instructions] Thank you. As there are no questions, I would like to turn the floor over to Mr. Ricardo Forni for his closing remarks. Please go ahead, sir.
Ricardo Forni: Okay. So thanks for everyone who is attending this conference. I believe that we are very happy to deliver very good result that is consistent with our trajectory and the work with our employees to deliver good results. And I believe that we are working not only towards, let’s say, to keep the profitability going up and closing the gap with our peers, but working on the efficiency agenda and working on the new business models and digital transformation that is very important and it is a very -- and it’s our strategy that, as our CEO said before, that he said in the beginning of his administration, these 10 lines of work that we are trying to deliver. And I believe that we are very happy in the what we reached so far and working hard on the end of this fourth quarter to deliver the complete 2021 results in good sound and prepared the floor for the next year that will be a challenging year in terms of the market scenario but in the competition as well. But we are confident that we have all the conditions to keep improving and delivering profitability, evolving the efficiency agenda, and most important of all, to, let’s say, enchant our clients, so I believe that -- or what everything that we do at Banco do Brasil is to deliver and to take care of our clients. Thank you for the attendance today.
Operator: That does concludes Banco do Brasil conference call for today. As a reminder, the material used in this conference call is available on Banco do Brasil’s Investor Relations website. Thank you very much for your participation. Have a nice day. You may disconnect now.